Operator: Good morning, ladies and gentlemen, and welcome to the OceanaGold Corporation Q3 2025 Earnings Call. [Operator Instructions] This call is being recorded on Thursday, November 6, 2025. And I would now like to turn the conference over to Haley Myers. Thank you. Please go ahead.
Haley Mayers: Good morning, and welcome to OceanaGold's third quarter 2025 operating and financial results webcast and conference call. I'm Haley Mayers, Vice President of Investor Relations. We are joined today by Gerard Bond, President and Chief Executive Officer; Marius van Niekerk, Chief Financial Officer; and Bhuvanesh Malhotra, Chief Operating Officer. The presentation that we'll be referencing during the conference call is available through the webcast and our website. I would also like to remind everyone that our presentation will be followed by a Q&A session. As we will be making forward-looking statements during the call, please refer to the cautionary notes included in the presentation, news release and MD&A as well as the risk factors set out in our annual information form. All dollar amounts discussed in this conference call are in U.S. dollars. I will now turn the call over to Gerard for opening remarks.
Gerard Bond: Thank you, Haley, and good morning, everyone. The third quarter was a solid one, in line with our expectations, where we safely and responsibly executed to plan. We are now in high-grade ore at both Haile and Macraes, which is why we expect the fourth quarter to be the strongest of the year. This also underpins our confidence in meeting full year guidance, lowering our unit costs and generating significant free cash flow in this fourth quarter. As a fully unhedged gold producer, we continue to benefit from today's favorable gold price environment. Most of the gain in average realized gold price was converted to the bottom line, and we delivered yet another strong quarter of free cash flow generation to the tune of $94 million. We have a superb balance sheet with 0 debt and cash of $335 million, up 12% from the last quarter. This increase in cash is after investing in our business and after the $46 million of capital returned in both dividends and buybacks during the quarter, reflecting our disciplined capital allocation framework. Our balance sheet strength provides us the flexibility to continue investing in our organic growth pipeline, which remains a focus for us. I'm pleased to say that the early works construction activities at the Waihi North project are progressing well, and we remain on track for fast track permit approval of this project by year-end. We are very much focused on maximizing shareholder returns. And this third quarter was one in which we generated strong free cash flow ahead of market expectations, increased our cash balance and returned a record amount of cash in the quarter to shareholders via dividends and buybacks. As of today, we have completed $100 million of share repurchases this calendar year at an average price of CAD 19.64 per share. I'm pleased to say that the OceanaGold Board has approved a substantial 75% increase in our share buyback program for this 2025 year, raising the total amount of planned buybacks up to $175 million. Widening the lens, I want to highlight just how focused we are on generating and sustaining an attractive return on capital. Our rolling 12-month return on capital employed is 17% over the last 12 months. Over the same period, we delivered $422 million of free cash flow, which represents a free cash flow yield of approximately 15% on our average market capitalization over that same period. Both of these metrics demonstrate how we are executing well, how we are successfully converting the strong gold price into bottom line results that we're generating significant free cash flows and that we are deploying capital effectively. Looking ahead, we are confident that the fourth quarter will be our strongest of the year from a production standpoint, and we remain on track to meet our 2025 full year guidance. Our consolidated gold production at the end of the third quarter represents 70% of the midpoint of our guidance range, in line with plan, while our year-to-date all-in sustaining cost is at the top of the guided range. The projected strong fourth quarter production is expected to drive our all-in sustaining costs back within our full year guidance range, which is exactly how we always expected this year would play out. Total capital investment is expected to be in line with guidance. Sustaining capital and growth capital expenditures are anticipated to be higher in the fourth quarter, including further spending on early works associated with the Waihi North project. In summary, we are pleased with the strong operational and financial performance year-to-date. And looking forward, we remain confident that we are well positioned to achieve full year guidance, progress our growth options and continue to increase returns to shareholders. I'll now turn the call over to Marius, who will discuss our financial results in detail.
Marius van Niekerk: Thank you, Gerard, and good morning, everyone. This quarter, our focused operational performance translated into a record quarterly revenue of $449 million, supported by a record average realized gold price of just under $3,500 per ounce, which is still well below where spot gold prices are trading today. I'm pleased to highlight a few other key metrics this quarter. Adjusted EBITDA reached $211 million and was up 18% compared to Q3 last year, resulting in a healthy margin of 47%. Adjusted net profit was $93 million and adjusted EPS was $0.40, representing increases of 40% and 48%, respectively. Operating cash flow per share was $0.93, up 41% versus last year. We generated a strong free cash flow of $94 million in the quarter, bringing the year-to-date total to $283 million. The balance sheet is clean. We have 0 debt and our cash balance increased to $335 million. These results highlight our focus on maintaining cost and capital control and reinforcing our financial strength to continue delivering shareholder value. With our balance sheet in the strongest position ever, we have the flexibility to continue funding our exciting organic growth opportunities while also returning capital to our shareholders through our dividend and our upsized share buyback program. In addition to maintaining our quarterly dividend this quarter, we bought back $39 million of shares at an average price equivalent to around CAD 24 per share. Having fulfilled our previously announced $100 million buyback program for 2025, the Board has now approved a 75% increase for the remainder of the year, raising the targeted share buyback to $175 million for 2025. Together with $24 million in share repurchases made last year and our doubled dividend in 2025, by year-end, we expect to have delivered over $225 million in capital to shareholders, and that's over the previous 18 months. This demonstrates our clear commitment to delivering capital returns to our shareholders while maintaining a strong balance sheet and funding our growth projects. I'll now pass it over to Bhuvanesh to discuss our operating performance at each of our sites.
Bhuvanesh Malhotra: Thank you, Marius, and hello, everyone. Ore production at Haile was 30,000 ounces in the third quarter, which was our planned lowest production quarter of the year as we advanced phase stripping at Embeda Phase 3, which unlocked fresh ore towards the end of the period. We are confident that the fourth quarter will be a strong quarter comparable to the first quarter, driven by the high-grade ore from Ledbetter 3, positioning us to achieve our full-year guidance. Third quarter all-in sustaining cost was above our guidance range as expected, reflecting the lower production volumes and capital investment on waste stripping and increased sustaining capital. We maintain our all-in sustaining cost outlook for the year as we expect unit costs to decrease significantly in the fourth quarter, in line with the expected improved production profile. During the quarter, we also released some exciting exploration results at Haile, highlighting the high-grade mineralization at several deposits across the property, notably at Ledbetter Phase 4, Horseshoe Underground and the early-stage Pieces and Clydesdale targets. The exploration success enjoyed year-to-date continues to highlight attractive upside for low-risk organic opportunities. Work on Ledbetter Phase 4 trade-off study continues to progress well. We are on track to release an updated NI 43-101 technical report by the end of quarter 1, 2026 with the results of this work. Now on to Didipio. During the quarter, Didipio delivered gold production of approximately 22,000 ounces and copper production of 3,100 tonnes, in line with our full year plan. In the quarter, we successfully completed the dewatering of the decline and expect to be at normal underground mining rates by the end of 2025, keeping us well on track to meet our full year guidance. We continue to pursue our underground optimization plans to support our growth. In the third quarter, we increased our investment in sustaining capital with planned spending on underground pumping infrastructure and ongoing lifts to the tailings storage facility. We expect this investment to continue into the fourth quarter. With the investments in mine water resilience in the second half of 2025, we expect all-in sustaining costs to be around the top of the guided range for the full year. We remain excited about our exploration prospects with ongoing drilling at multiple targets. This quarter, we continue to explore our near-mine targets, Napartan and D'Fox. In the fourth quarter, drilling will resume at True Blue, an area of known mineralization approximately 800 meters away from the Didipio mine. Additionally, resource conversion drilling from the underground is expected to resume shortly following the successful dewatering of the decline. We're making good progress and remain on track to reach our targeted underground mining rate of 2.5 million tonnes per annum by the end of 2026. We expect to release an updated technical report in the first half of 2026, outlining this plan to the market. We remain excited about Didipio's future growth opportunities. Moving on to Macraes. This quarter, Macraes delivered improved gold production of 33,000 ounces as waste stripping at Innes Mills 8 began unlocking fresh ore towards the end of the period. Looking ahead, with access to fresh ore at Innes Mills 8, we are confident in the significant fourth quarter uplift in production, positioning us well to achieve our full year guidance for production and costs. We remain excited about our potential opportunities to unlock value at Macraes. We are continuing to evaluate many options available to extend the mine life given today's high gold price environment, leveraging the value of our industry-leading low mining unit costs. We expect to share more with the market in an updated technical report at the end of quarter 1, 2026. Waihi delivered another strong production quarter of just under 19,000 ounces of gold, maintaining the progress achieved with the underground improvement plan initiated in 2024. This marks the fourth consecutive quarter of stronger performance at Waihi, which is testament to all the hard work done by the team there. This great turnaround at Waihi in recent quarters has positioned the site to deliver gold production around the high end of its guidance range for 2025. Now on to our exciting Waihi North project. I'm pleased to say that our fast track application progressed through the commenting phase in the third quarter and is currently in the panel consideration phase, which includes of responding to requests for information. Our expectation remains that we will be permitted by year-end and will be able to start the underground decline towards Wharekirauponga in 2026. Early works activity continued to progress with the construction of the service trench, civil works and Velos bulk earth works all commencing this quarter. We are on track to spend our guided $45 million this year, helping the project to be ready to start in earnest when we receive that approval. Turning to exploration at Wharekirauponga. Exploration focused on confirming the extent of mineralization of the southern end of the deposit, which remains open. As part of our fast track application, we are also seeking approval to increase the number of drill sites and double the number of allowable drill rigs, which will accelerate efforts to define this exciting deposit. Back at Waihi, exploration drilling is focused on resource definition and conversion and expansion of the Martha underground. With the improved underground performance and solid progress on permitting of the Waihi North project, we remain very excited about Waihi's future. I will now turn the call back to Gerard.
Gerard Bond: Thank you, Bhuvanesh. In summary, this was another good quarter for OceanaGold and in line with our full-year plan. We expect the fourth quarter to be our strongest of the year, setting us up well to meet our full year guidance and generate substantial free cash flow at today's gold prices as a fully unhedged gold producer. Our balance sheet is in excellent shape. We returned a record amount of capital to shareholders through dividends and buybacks. Our 2025 buyback program has been substantially increased by 75% and the fast-track permitting approval of the Waihi North project is expected by year-end. We're also targeting a listing on the New York Stock Exchange in April 2026, which we believe will provide enhanced trading liquidity and access to a wider range of potential investors, both of which should drive value for shareholders. All this is possible through the dedicated efforts of the many tremendous people who work at OceanaGold and a big call out of thanks to them for all their hard work. I'll now turn the call over to the operator, who will open up the lines for any questions.
Operator: [Operator Instructions] And your first question comes from the line of Ovais Habib from Scotiabank.
Ovais Habib: Gerard, congrats to you and your team on a great quarter and really great to see Haile and Macraes in the higher grade ore. Also, really great to see the significant increase in the share buyback program. So that was really good to see and really depicts how confident you guys are on your free cash flow profile. A couple of questions from me, Gerard. Number one, starting off with -- you've got a lot of studies coming up in 2026. There's the Haile tech report, Macraes tech report. You've got the Didipio underground PFS as well. In terms of the free cash flow and free cash flow profile that we see going into 2026, that seems to be very strong. So the question is, do you see any major CapEx projects going into 2026 based on these expected studies?
Gerard Bond: Firstly, thanks for the questions. Look, I mean, the cash flow requirements of those studies or the mine plans that will be reflected in those studies will be available in 2026 when we release them. But there's nothing -- unlike, say, the Waihi North project, there's nothing more than we're doing than updating the mine plans for latest reserves, latest reserve assumption and latest estimates of activity and the mine plan itself. There is nothing of a vastly different nature in capital that we're expecting to be associated with any of those 3 assets, Haile, Macraes or Didipio.
Ovais Habib: Fantastic. And just kind of moving on to Didipio then. Q3 looked fairly similar to kind of Q2, things have improved. Obviously, there were some underground water issues at the beginning of the year. Is that all now behind us? Any color on that would be great.
Gerard Bond: Well, I think Bhuvanesh covered it in the call, and I'll hand it over to Bhuvanesh again. But as he said, we have completed the dewatering of the decline. And by the end of this year, we expect to be at normal underground mining rates in full. Bhuvanesh, anything else to add on that?
Bhuvanesh Malhotra: No, I think you covered it well. Thanks, Gerard.
Ovais Habib: Okay. And then just moving on to Waihi. Waihi is expected to finish the year around the top end of its production guidance. And this is definitely a big improvement over the past couple of years. Are you now confident in this performance continuing to 2026?
Gerard Bond: Bhuvanesh do you want to take that?
Bhuvanesh Malhotra: Yes, sure. Thanks, Ovais. Yes, we are very confident about our production profile moving forward from Waihi. I think we now have a very great handle of the mining in out there as well. So yes, we feel very confident about our ability to capture and maintain that rate.
Operator: And your next question comes from the line of Harrison Reynolds from RBC Capital Markets.
Harrison Reynolds: Congratulations on delivering another strong quarter. It sounds like well set up heading into the end of the year. Wondering if you might be able to provide a bit more detail on these upcoming tech reports for Haile and Macraes. I know you touched on it a little bit in the last question, but sort of trying to understand what they might include. I think about the Macraes mine life extension. And I think that's underappreciated, but trying to maybe think about which phases are actually going to get included in this report. And over at Haile, some of this exploration has been interesting, but I'm wondering, are we going to get details around those targets at all? Or is it just going to be updating production schedules and costs?
Gerard Bond: Everyone wants a spoiler alert ahead of the -- you're going to rob all the excitement of February to keep talking. Look, I mean, Haile, we've been saying that for a while now we're studying how we're going to approach the mining of LedBetter 4. It was always in the last technical report shown to be an open pit mine. But as a result of the great drill results we had and the shape of the ore body as defined by that drilling, what the study will do is make a determination and reflect the decision on how we're going to mine that LedBetter 4 ore body. So that's probably the primary change. The -- we've had some tremendous drill results at Haile as foreshadowed, but I don't think much of that's going to alter the mine plans beyond what I've said in relation to Ledbetter 4. At Macraes, its last reserve estimate was done for the whole company was at a reserve price of $1,750 an ounce. And we said that we are going to -- we're looking at having a higher reserve price for Macraes and all sites. And when we update that technical report at a higher reserve price, the amount of mineralization at Macraes is such that you can expect that a degree of mine life extension of some magnitude because it is an ore body that's sensitive to price. And so, at these higher gold prices, and we're always going to make sure that our reserve price isn't chasing too spot gold, we're going to make sure we have a very healthy margin on mining activities at all sites. But Macraes is sensitive to the gold price, and we expect that, that increase will allow us to mine more ore for longer at Macraes. And they are the primary reflections.
Harrison Reynolds: That's great detail. And maybe just one more for me. I think it's exciting to see that there's going to be more drills on the Waihi North project post permitting. But can you talk a little bit about what's going to be targeted from those drill rigs? Is that going to be more infill drilling? Or are you going to start to do step outs and define the size of this ore body?
Gerard Bond: Yes. Great question, Harrison. I mean, to put it in context, we're doubling the amount -- well, doubling the amount of drill pads that we can drill from. That will give us tremendous flexibility and choice as to how we approach the drilling as opposed to being limited to the drill pads that we have had for a many number of years. And as I said, doubling the amount of drill rigs. We'll always have a choice, and they're not mutually exclusive. We can do a bit of both. It is an exciting ore body. I think there is merit in doing some infill drilling and there's merit in doing step-outs. And again, we're only to date focused on one of the veins. There's also the opportunity to focus on some of the other veins in the region. I think Wharekirauponga, the district has a long period of time to unveil what's possible there. And again, this next year is going to be a step change in drilling activity to help unveil all that.
Operator: And your next question comes from the line of Fahad Tariq from Jefferies.
Fahad Tariq: At Waihi, it sounds like the underground improvement plan is going really well. You've seen higher throughput, higher grades, lower cost. Are there similar opportunities at other mines in the portfolio to bring costs down?
Gerard Bond: Short answer is yes, but I'll let Bhuvanesh color that in for you, Fahad. Thanks for the question. Bhuvanesh?
Bhuvanesh Malhotra: Thanks, Fahad, for the question. Yes, there are other opportunities across our portfolio to really factor the cost. Currently, we are undertaking all of those opportunities as well and probably Haile being a nice one to take that into account as well, specifically when you look at the trade-off study between the open pit and the underground. So that's a great example to factor that outcome. Similarly, at Macraes, we can -- we're looking at all opportunities as a part of the mining studies that are in out there as well. And at Didipio, the way we basically have been mining at Didipio, specifically in relation to how our stope sequencing work, we are always looking at those opportunities as to how to get the cost of the all-in sustaining cost down.
Operator: And your next question comes from the line of Cosmos Chiu from CIBC.
Cosmos Chiu: Maybe my first question is on something interesting that you mentioned in your MD&A. As you mentioned in your MD&A, you'll be releasing your 2026 guidance with full year 2025 results, and it will reflect updated economic influences from current market and operating environment. So I guess my question is, Gerard, is that an indication that you'll be looking at sort of inflationary factors? Or are you looking at sort of changes from the higher gold prices and changing opportunities? You kind of answered that question in your answer to Harrison on the Macraes in terms of potentially bringing in more ore. But is that what we're talking about, inflation? Are we talking about opportunities from a higher gold price? What do you mean by that statement?
Gerard Bond: Yes. I mean it's everything costs, right? I mean we start with the physicals and then we have to have an overlay of what it's going to cost and what we're going to be investing in. And the mine plans will direct the activity and the activities can shift ever so slightly depending on what the mine plan takes us to and the experience of the year. And market costs, they can reflect anything, including inflation, exchange rates. I mean, we operate -- 50% of our business is outside of the U.S. And so, we update as to the New Zealand dollar and the peso, input costs and so forth. So it's a comprehensive normal update of what we expect the economics and physicals of the business are going to be.
Cosmos Chiu: So pretty much everything. But I guess to ask it more concisely, have you thought about what gold price assumption you might be using for your technical reports coming up that could drive how you run the business at least into 2026?
Gerard Bond: Short answer, and I think I alluded to it and we said it previously, we are going to increase the reserve price. The reserve price of $1,750 is too low. So it will go up. It doesn't change the activity set of any of our assets in 2026 at all. And the primary change that -- and it doesn't change much of the reserves of any site with the exception of Macraes because as I said on the call, it's the one that's most sensitive to price. And you can just see the difference between the reserves and the resources at Macraes and the resources at Macraes are booked at $1,950. So as we migrate from reserve to resource, you're going to see some level of those resources come into reserve, and that will extend life, but it won't alter the activity of 2026, all that much from what we expected otherwise.
Cosmos Chiu: Great. Maybe switching gears a little bit. Gerard, as we all know, Q3 was going to be the weakest quarter for the year for Oceana . And despite that, you still generated very good free cash flow, $94 million positive free cash flow. Can you remind us of any kind of seasonality in your free cash flow quarter-over-quarter? For example, I know that you need to pay for your FTAA each and every April. But is there anything else that we should be aware?
Gerard Bond: Not really, Cos. I mean I think the largest single lump is -- and I'll give Marius time to think and he can color in if I've missed something. But the largest single item of the lumpy spend is that additional government share that's paid in April of every year, and that's flagged in the full year results that we released in February. We -- through the course of this year, we did have some seasonality in the electricity price that we experienced in New Zealand, but it's kind of not all that significant. But -- and then the other seasonality, we can have weather events affecting shipping of copper concentrate out of Didipio, but that all washes out in the course of the year anyway. So nothing material. Marius, anything come to mind or Bhuvanesh?
Marius van Niekerk: The only 2 that come to mind is obviously your CapEx spend profile, cars, depending on where you are in that quarter. And then also from a shipment perspective, yes, you have -- you could have weather events impacting it or you could have some stockholding at either site per quarter at the back end of the period. So that would influence, for instance, Didipio this quarter had some sales that came from inventory in the prior quarter.
Cosmos Chiu: Great. And maybe one last question. Great to see share buybacks, you've reached your $100 million target, now increasing it to $175 million. But I guess my question is, as Marius mentioned, you repurchased shares at CAD 24. Oceana shares have done very well. Now CAD 31.85. So I guess my question is, is there some kind of upper limit in terms of when you might start considering or reevaluating the velocity in which you repurchase shares?
Gerard Bond: Yes. We do have -- we are mindful of value, Cos. We have our own view on value having regard to modeling and various assumptions, and we don't go above that limit.
Cosmos Chiu: Okay. And at this point in time, Gerard, can you share with us, are we going to expect share buybacks of $75 million in Q4? Or is that, again, based on what you're observing in terms of value in terms of the share price?
Gerard Bond: I can say that we will be commencing that buyback at today's share price. And what happens thereafter, Cos, is, again, subject to the parameters we put around it. But I think what we have shown is that when we said we were going to buy back shares at the start of the year of $100 million, we executed to that. And I think just generally, at a macro level, I think that gold equities, not all gold equities, but certainly OceanaGold equities still have a way to go to reflect fully or even part of the uplift in spot gold.
Operator: And your next question comes from the line of Don DeMarco from National Bank.
Don DeMarco: First off, to these technical reports, Gerard, what is the timing of both the Haile and the Craisech reports? Are they going to both be out before 2026 guidance is released?
Gerard Bond: No. They will come out in the end of the first quarter of 2026. But the essence of them will be reflected in the '26 guidance.
Don DeMarco: Okay. And of course, as has been discussed in some of the questions, with the Haile tech report, you're looking at -- you faced with the decision of how to approach LedBetter 4. This analysis is ongoing. We'll look to report for what your decision is. What are some of the variables that you're including in your analysis that might drive the decision grade, CapEx, differences in throughput between the different scenarios in the mine life? What are some of the factors that you're looking at and weighing both options?
Gerard Bond: Sure. Great question. Bhuvesh, do you want to take that one?
Bhuvanesh Malhotra: Yes, sure. Thanks, Don. So we've been looking at the value-based decision as well. So the decision basically is more about the NPV that we will generate and then the IRR that we'll get out of the decisions that we need to make as well. And as you know, probably in the case of the open pit, given the amount of waste that we need to strip to the ore, that probably is a huge amount of time that we spend in that space as well. So we're taking a value-based decision that probably generates the best outcome. This is what the trade-off studies will be taking into account.
Don DeMarco: Okay. Great. And great to hear that Q4 is going to expect to be the best of the year. And really, there's a clear path into 2026 as well. Would you expect that stretch to continue into '26? I mean, in a general sense, and of course, we'll look for details of the guidance, but it seems like a clear path carrying on the strength from Q4 into next year.
Gerard Bond: Yes. Whether the quarter volume is exactly the same, but the drivers of that uplift definitely carry through into '26. I mean this has all been about accessing grade at our 2 largest operations, Haile and Macraes this year represent 70% of our projected production. And next year, that combination grows even larger because of this access to the higher grade ore and Innes Mills 8 at Macraes and LedBetter 3 that we've been investing in this year. That's what I think is particularly exciting. We have been investing in the access of those large open pits this year, still generating tremendous free cash flow. And then next year, when you're feeding higher-grade ore that's what's the primary driver of the uplift in gold production in 2026.
Operator: And there are no further questions at this time. I will now hand the call back to Gerard Pan for any closing remarks.
Gerard Bond: That concludes our webcast and conference call today. Thank you, everyone, for joining us. A replay will be available on our website later in the day. On behalf of the management team and everyone at OceanaGold, I wish you a very pleasant rest of the day. Bye.
Operator: And this concludes today's call. Thank you for participating. You may all disconnect.